Operator: Good morning, ladies and gentlemen, and welcome to today's Legrand 2025 Half Year Results Conference Call. For your information, this conference is being recorded. [Operator Instructions] At this time, I would like to hand the call over to CEO, Mr. Benoît Coquart; and CFO, Mr. Franck Lemery. Please go ahead, sir.
Benoît Coquart: Thank you very much. Hello, everybody. Good morning. So Franck, Ronan and I are happy to welcome you to the Legrand 2025 H1 Results Conference Call and Webcast. As you know, we have published today our press release, financial statements and a slide show to which we will refer. I begin on Page 4 of the slide show with the 3 key highlights of this press release. First, Legrand delivered very solid results in the first half of 2025 with strong sales growth and high profitability. Second, we have revised our 2025 full year targets upwards, both in terms of sales and adjusted operating margin. And third, we are actively rolling out our strategy, strengthening our confidence in reaching the upper end of our 2030 revenue target range of around EUR 15 billion. So moving to Page 6. I will start with an overview of sales. In the first half of 2025, excluding FX, our sales grew by plus 15%. This includes an organic growth of plus 9%, driven by an outstanding performance in data centers. On Q2 alone, our organic growth was of plus 10.1%. This also includes a positive scope effect of plus 5.5%. And based on the acquisitions announced so far, the full year scope effect would be around plus 5% -- sorry, plus 4.5%. As for FX, the effect was a negative minus 1.4% in the first half. And based on the rates of the month of June, it would be around minus 2.5% for the full year. On Page 7, you will find the key takeaways per geography on a like-for-like basis. In Europe, where market conditions remain contrasted overall, sales rose by plus 1% in the first half of 2025. In North and Central America, sales were up again, like-for-like, of course, a strong plus 20.5%, driven by an outstanding performance of data centers offering. Finally, in the rest of the world, sales increased by plus 3.3% with growth in Asia Pacific, Africa and the Middle East, partially offset by a retreat in South America. These were the main comments I wanted to share on sales. I will now hand over to Franck for more color on our financial performance.
Franck Lemery: Thank you, Benoît, and good morning to all of you. I'll start on Page 8 with adjusted operating margin. In H1 2025, we recorded a solid adjusted operating margin of 21% after acquisitions. This represents a 30 bps point increase year-on-year, including 20 bps organic improvement driven by operational leverage and a 10 bps favorable impact from acquisitions. This high profitability level demonstrate clearly, first, the strength of our strategic model and second, our solid ability to execute and adapt. On Slide 9, a short update on the U.S. tariff topic, a topic that also demonstrates our ability to adapt and deliver. As you know well, close to 50% of our U.S. COGS is imported. The action plan we launched at the beginning of the year is fully on track. It's already delivering visible results, for example, regarding targeted sales price increases, cost savings initiatives, supply adjustment or selective industrial footprint adaptations. Going now to Page 10. The net profit stood at EUR 628 million, representing 13.2% of our sales. This nice increase is coming from operating profit and is partially offset by the impact of financial results and the rise in corporate income tax. The free cash flow came to EUR 502 million, growing plus 7.2% on the first half. Page 11 illustrates the robustness of our balance sheet with a net debt-to-EBITDA ratio of 1.5x at the end of the first half. This concludes the key financial topics I wanted to share with you this morning. I'm now handing over back to Benoît.
Benoît Coquart: Thank you, Franck. So we are moving now to Page 13 regarding our 2025 full year targets. Taking into account the first 6 months of the year results and considering the world's current macroeconomic outlook as well as gradual normalization of customs policies, we have revised our targets upward for the full year 2025. First, sales growth, excluding currency effect, is now of between plus 10% and plus 12% versus previously of plus 6% to plus 10%. This includes an expected organic growth of plus 5% to plus 7% and a growth from acquisitions of approximately plus 5%. Second, we are now targeting an adjusted operating margin after acquisitions of 20.5% to 21% of sales versus previously holding stable overall after acquisitions compared with 2025 -- 2024, sorry, i.e., around 20.5%. Last, no change regarding CSR, where we target an at least 100% achievement rate for our road map. Before moving to the next part, I would like to point out the fact that 2025 would be the fifth year in a row where Legrand adjusted EBIT margins stands above 20%. Now from Page 15 to 19, we show that we are fully executing our strategic ambitions to 2030. So on Page 15 to 17, we have announced 6 acquisitions, all in segments tied to the energy and digital transition with -- for a total acquired sales of around EUR 200 million. These transactions illustrate our ability and expertise in continuously strengthening our leadership in buoyant fields of activity. Second, on Page 18 and 19, we are keeping a very strong innovation momentum with numerous product launches in all verticals. And finally, on Page 20, we highlight the data centers offering exceptional momentum in H1. Data centers account for 24% of group sales in H1 2025, with an order book of above EUR 1 billion, giving us good visibility. To conclude this section, on Page 21, we reaffirm our 2030 targets at the upper end of the sales range, building on the achievements I've just mentioned and taking into account market trends observed over the past 12 months, particularly in data centers, where we now expect a double-digit average annual organic growth in our accessible market between 2025 and 2030. We are confident in our ability to reach the upper end of our 2030 revenue target range, i.e., around EUR 15 billion compared with EUR 8.6 billion in 2024. Those were the key topics of this release. I suggest we switch now to Q&A. Thank you.
Operator: [Operator Instructions] We will now take our first question from the line of George Featherstone from Barclays.
George Featherstone: A couple of questions from me, if possible. Just on the data center business, can you help us with the book-to-bill commentary you usually give? Was it above 1x in the second quarter for data centers? And then secondly, just looking at these longer-term targets that you've talked about already today. If we're going for a double-digit average for data centers to the end of the decade, should we think of a different organic growth rate for the group than you've originally targeted? I think you said 3% to 5% before. But clearly, with data centers growing maybe a bit stronger than you thought at the end of the decade, is there some upward scope to that 3% to 5% as well?
Benoît Coquart: So good question. So of course, as far as the data center trend is concerned, a few data points. In H1, clearly, all the growth of Legrand came from data centers. So you have the data center piece, which was growing very strongly, much stronger actually than our growth in Q4 2024, much stronger than the growth as quoted by some of our listed peers. And the rest of the business, the building business was pretty flat. And going forward, you know that last time we talked, we told you that we were targeting the upper end of our initial guidance for the data center growth. We started the year thinking that the data center will grow from 10% to 20%. At the end of Q2 -- Q1, sorry, we told you that it will be closer to 20% than to 10%. And now I can, without much debt, tell you that the data center growth is going to be somewhere between plus 20% to plus 25% compared to 2024 for the full year. And of course, we are pushing for it to be closer to 25% than 20%. So clearly, there is a very, very strong momentum throughout the year. And even though the H2 basis for comparison will be more demanding than H1 for data center, I mean, we have -- you know that, of course, still, we will record a fantastic growth for the year. Now as far as -- what is the sort of backup for this growth? Well, as we quoted in the PPT, we have a very large backlog that we need to deliver that give us, let's say, about close to 12 months visibility. Number two, our book-to-bill in H1 remained above 1. And even though you have some customers that are adjusting up and down their orders, the momentum remains extremely strong for data centers. And we are super confident in our ability to keep growing significantly in H2 and to enter into 2026 with a good growth momentum. As far as the longer-term prospect is concerned, yes, indeed, we are moving from a forecast for the data center market growing high single digit, 8%, 9%, 10% per year to low teens, 10%, 11%, 12%, 13%, we'll see. Of course, it has an impact on our overall organic growth profile. And clearly, it implies that we'll get closer to the upper end of our organic growth guidance, i.e., plus 5% than to the lower end of organic growth guidance long term, i.e., plus 3%. So the reason why we are very confident in our ability to target the upper end of the sales guidance, i.e., EUR 15 billion come from 2 factors basically. Number one, the underlying market, especially the data center piece, should be growing more than in our initial forecast. So we should be able to target an organic growth of closer to 5% than to 3%. And number two, the plan we've been executing so far for the past 12 months demonstrate that the model works. And if you like -- look, for example, at acquisitions, this year is going to be plus 5 perimeter impact. We have already bought 6 companies in the first half. I can tell you that there are more to come in the next couple of months. So the underlying market is a bit more supportive. Our strategy is paying off. So yes, the EUR 15 billion, is clearly now more target than the EUR 12 billion.
Operator: We will now take our next question from the line of Max Yates from Morgan Stanley.
Benoît Coquart: Maybe we can switch to somebody else and put Max back in the queue.
Operator: Our next question comes from the line of Daniela Costa from Goldman Sachs.
Unidentified Analyst: It's actually [ Mei Han ] from Goldman Sachs. Just trying to clarify your math on the 22%, 25% growth for data center. How much growth was 2Q because you were up in 40% in 1Q. And our math kind of gives up first half should be up 80%, but there could be seasonality that we should take into account of?
Benoît Coquart: Well, those are your numbers actually, not ours. What we are just telling you is that we are growing a lot more than 30% in H1. Now what you have to take into account, we're not seeing any slowdown in H2 to make things clear, and we believe that H2 is going to grow again significantly. But there's one key factor that you have to take into account, which is the basis for comparison, right? We didn't grow in Q1 2024. And then it was plus 10% in Q2, plus 20% in Q3, plus 30% in Q4. So clearly, we have a basis for comparison, which is more demanding in H2 than in H1, specifically for the data center market. But again, let's be clear, it's not about any market slowing down. And we have the backlog supporting the fact that the market -- the business is going to continue to be extremely positive for the next couple of quarters.
Operator: Next question comes from the line of James Moore from Rothschild & Co Redburn.
James Moore: Benoît, can I ask -- I may be a bit greedy really and ask for a little bit more color on growth speed in the second quarter year-on-year compared to the first by the different segments. I mean just from the data center side of things, you obviously had an extremely strong first quarter. And I understand the comparatives. But just the pace of growth in the second quarter, was it the same or above or below that of the first? And if you could give any color on the other 3 segments, that would also help. And if you could also talk about U.S. growth speed in the quarter between data center, non-resi and resi, that would be really, really helpful.
Benoît Coquart: Okay. Well, I'll start with the second question. The second question is specifically in the U.S., right?
James Moore: The first one was global for the 4 segments and the second one was the U.S. by the 3 end markets.
Benoît Coquart: Okay. Yes. Well, clearly, if you -- so let's start with the first question. If you take the comps into account, we haven't seen a significant difference in trend for the data center worldwide globally between Q1 and Q2. So no acceleration nor any deceleration in our sales. And it's mostly about the basis for comparison. And it gives us confidence on the fact that it should continue for Q3 and Q4. So no significant change in trend. Now to be extremely honest and candid, it's not always easy to identify and qualify a trend in the data center segment on a quarterly basis because it is made of so many projects, so many customers that it's not the sort of stock and flow business where you can easily and accurately understand what's going on. So -- but in our sales, at least, if you take the comp out, no change in trend between Q1 and Q2. As far as the U.S. are concerned, well, the entirety of the growth in the U.S. in H1 came from data centers. And the rest of the business remained pretty flattish. We haven't seen a lot of change in trend when it comes to the underlying market. The residential business is still quite -- well, not in a very good shape. Now if you look at the H1 numbers, residential in the U.S. for us, it's just slightly more than 10% of our sales. So it's not a big driver behind our performance, but the underlying resi market remains quite depressed. As far as the office market is concerned, which is a larger exposure for Legrand, we haven't seen a sign of recovery yet. The key numbers are, let's say, pretty -- are not moving down anymore. So if you take, for example, the vacancy rate of offices, it has been pretty flat at a high level for a couple of quarters. So not yet declining, but not increasing anymore. If you look at the number of square feet being built, it is also flat quarter-to-quarter at quite a low level. So it has been stabilizing, but we have not yet seen a sign of recovery, which is, by the way, not a surprise because we did not expect any recovery before at best the very end of '25 and most likely in '26. Last word maybe, what have we included in our 2025 guidance? So the 5% to 7% organic growth. Well, we have included -- and it's not a comment specific to the U.S., but for the group. We have included a continuation of good growth in data center with, of course, this basis for comparison topic and no recovery neither in the building in Europe nor in the building in the U.S. So we haven't included in the guidance any recovery in the building market, which we believe going to be more probably a '26 topic than a '25 topic.
Operator: Our next question comes from Max Yates from Morgan Stanley.
Max R. Yates: Hopefully, you can hear me now.
Benoît Coquart: Yes, we can.
Max R. Yates: Yes, excellent. So look, I just wanted to ask about, firstly, kind of a conceptual sort of question about margins. Obviously, you're going to do that kind of 25% -- 20.5% to 21%. Obviously, margins, typically, you've talked about around that sort of 20% level. So I guess I'm just wondering to what extent will you use this sort of better year of margin expansion and growth to reinvest in the business and sort of we should expect kind of that margin to normalize in the next couple of years back down to that sort of 20%? Or are you kind of comfortable kind of now running at these high levels and the level of investment in the business is around where you want it to be in terms of rebates, R&D, new product developments, et cetera?
Benoît Coquart: Well, clearly, in -- so 2 answers. In 2025, the 20.5% to 21% doesn't imply that we are freezing gross investment. It's important to have that in mind. We're not delivering or we do not intend to deliver this level of margin by cutting R&D expenses, stopping launching new products. No, this level of margin is just a consequence of 2 factors. Number one, the fact that we intend to compensate the U.S. tariff mainly through pricing, and you know that we have the ability to do that. And number two, since we are growing more than we initially thought, we're going to have normal, let's say, leverage on SG&A. So it's not about cutting cost or cutting growth investments, it's about benefiting from the leverage coming from the top line growth. Now longer term, we haven't changed our midterm guidance, which is to have a 20% margin throughout the cycle. But of course, as noted in our -- in my preliminary speech, it would be the fifth year in a row with margins above 20%. So it's not because we have a long-term guidance of 20% that we cannot, on specific years, target more, of course. Now of course, you know that 2025, to some extent, is also a bit specific. We expect for the full year acquisitions to have 0 dilution and possibly even a couple of bps accretion on our margin, which is not the typical case. Midterm, you know that we expect to have a 30 to 50 bps dilution per year coming from acquisitions. So you have to take that into account going forward. So to make a long story short, we haven't changed our midterm guidance of 20%. But of course, if we can, we always try to deliver more than that, and that's what we intend to do for 2025.
Max R. Yates: Very helpful. And maybe just a quick follow-up. I mean, you obviously mentioned and we can all see it that your data center business is certainly -- even if your growth target isn't faster than some peers, but it's growing certainly in the first half faster. So maybe just from your perspective, what do you really put that down to? I guess one interpretation is this is spending on the white space that's accelerated and that favors your product mix. Another interpretation is you have certain products like grid or cooling that are being adopted very quickly. Another would be that you're pushing some of these smaller businesses into kind of new regions. I mean if there was one sort of single thing that you would really kind of zero in on for why this business is growing so fast versus peers, what would it be?
Benoît Coquart: Well, I'm a bit challenging the fact that we are not guiding as high as our competitors. If I read properly, the Vertiv press release, they are guiding for plus 24% organic growth. This year, we're guiding for 22%, 25%. And I clearly said that, of course, we are targeting the upper end of this range rather than the lower end. So...
Max R. Yates: 25% versus 24%, right? It's the same...
Benoît Coquart: You're right. No, you're right. Not telling you that. But at the end, it's above 20%, which is a very significant growth. No, it's -- there's not one product in our portfolio in H1, which is growing far better, far faster than the others. Of course, cooling is growing a bit faster, but it's not the majority of our sales. But then if you look at the rest of our product offering, especially for white space, racks, PDUs and so on and so forth, they are all growing at a nice pace. So I think it's about the underlying market, which is booming. And one more thing that give us confidence on the fact that this growth is going to continue is the fact that we are probably the biggest white space player, right, in terms of sales. We are bigger than anybody else in the white space. And you know that the sales in white space tend to lag behind the sales of gray space, let's say, 1 or 2 quarters later. So when I see the announcement made by the Vertiv, the ABB of the world, the Schneider and so on and the fact that their gray space business and their orders for gray space are growing nicely. It's a positive sign for us because it means that at some point, it should come into the white space. So I cannot tell you that there's one customer growing more than the others or one application growing more than the others or even one geography growing more than the others. The 3 zones are growing nicely, North America, Europe and rest of the world. I think it's the underlying market for white space solutions, which is nice.
Max R. Yates: Okay. I think you'll grow 35% this year. So I think it will be the fastest-growing data center by the end of the year.
Benoît Coquart: We'll look at the numbers in Feb, Max. We'll do the league table in February.
Operator: We will now take our next question from the line of Gael de-Bray from Deutsche Bank.
Gael de-Bray: Can I ask about the mix dynamics? I mean, specifically whether there is any margin differential between the data center business and the rest of the portfolio now? And whether you see some potential eventually for margins in North America to fully catch up with those in Europe, maybe in the medium term?
Benoît Coquart: Well, there's not big difference in margins between data center and building because, of course, you have leverage when you are growing 40%, 50%, 60% that you don't have when you are flat. But this leverage is partially compensated by the fact that you have a lot of inefficiencies also. And when you have to add capacity in order to serve your customers, it's not the sort of typical leverage you would experience on a more, let's say, stable building side. So no significant difference in margins. And as for the building business, we have areas where we are leaders in data centers and areas where we are not leaders. So you have business segments, if I may say, where you have a 10% EBIT margin and you have business segments where you have a 25% or 30% EBIT margin. So as for the building side, it depends on the mix of leadership we have. But as a category, let's say, no significant difference in margin, even though the margin could be -- I mean, the component of the margin could be slightly different, a little bit less SG&A, a little bit less gross margin and so forth. But at the EBIT level, no significant difference. As far as the North American margins are concerned, there's no structural reason why they would be lower than European ones. It's just a matter of how fast we're going to grow the leadership positions. So the more we acquire leaderships, the more we grow organically. You could see in H1 that we have a strong leverage in our North American margin, the closer we'll get to the European one. Does it change our long-term vision on margin? Well, I'm referring then to the answer on the previous question and the fact that we are still shooting for 20% EBIT. So in other words, no structural reasons why the U.S. margins or North American margins should be lower than Europe. It's just a matter of growing as fast as we can organically and buying companies with little dilution.
Gael de-Bray: Okay. Can I have a second one on the pricing side? I mean your pricing contribution in Q2 and how you see that going into the third quarter? Because I suspect then you will get the full benefit from the pricing actions you have been implementing. Although on the tariff side, I mean, now we have some maybe additional tariffs against Europe on the copper side as well. So any update on the extra cost you see there?
Benoît Coquart: So starting with the first question. On H1, we have a price increase of plus 0.6%. And if you split between Q1 and Q2, Q1 was at plus 0.2% and Q2 at plus 1.1%. And within Q2, June is better than May, which was better than April. So clearly, the phasing in of pricing is executed exactly as planned in order to compensate the tariff. As far as the full year perspective on pricing is concerned, when we entered into the year, we told you that we were shooting for plus 1% maximum. In Q1, looking at the discussions, we told you that we are now shooting for plus 2% to plus 3%. And now that the tariff -- that a number of tariff discussions have been settled, we can maybe be a bit more precise and tell you that we are now shooting for around plus 2%. So we believe that at a group level, of course, with this plus 2% for the full year on pricing, it's the level of pricing, which is enough to compensate for the -- together with the other action items we have, of course, like the supply chain management, a bit of cost cutting, the USMCA, the work around USMCA and so on and so forth. We believe that it's enough to compensate for the tariff. As far as the tariff itself is concerned, last quarter, we tell you that based on our own scenario, which implied a number of normalization. For example, we didn't take China at 145%, but we knew it would normalize. We told you that the total cost would be USD 150 million to USD 200 million. Well, now based on the latest discussions as well as on the timing impact, we believe that it's going to be between USD 140 million to USD 180 million. So you see that not a lot of changes compared to last quarter because our cost scenario assumed a landing in the discussions with China, with Europe, which actually happened. So our scenario was pretty accurate. Out of the USD 140 million to USD 180 million, you already have USD 40 million to USD 50 million in H1 and the rest in H2. So it's always a sensitive topic. We have to remain extremely agile, but we are very confident in our ability to execute our compensation strategy as planned.
Operator: Our next question comes from the line of Martin Wilkie from Citi.
Martin Wilkie: It's Martin from Citi. I just wanted to come back to the office market in the U.S., and it sounds like there's some signs there of improvement, but not yet seen in numbers. In past cycles, how long has it taking for leasing activity to improve before you see it in your business? We have seen some companies talk about tenant fit out following leasing and so forth, having picked up in Q2. But ordinarily, when you've looked at that market, how long has it taken for leasing to sort of flow through into your business?
Benoît Coquart: Well, I don't believe that any past experience is relevant as far as the office market is concerned because the fact is that COVID was a game changer. So it's no longer about, let's say, a classical cycle. It's about how long it will take for the COVID impact to be terminated. And the changes COVID implied in terms of flex-office, remodeling of spaces, remote working, home office, blah, blah, blah. So unfortunately, I would love to have this answer. It's not like for resi. Resi being in the U.S. or in Europe, classical cycle, depending very much on interest rates, you can more or less know how long it will take for the cycle to change. You can identify quite precisely the time lag between permits, starts and the time it flows into your P&L. All that is very much documented. When it comes to the office market, I think there was -- this COVID revolution, and we are in unknown territories. Now when I look at the numbers, 21% of offices being empty and vacant. The number of square feet being built is -- when you look at the curve, it's 5 or 6x what it used to be. I mean, 1/5 or 1/6 of what it used to be before the COVID. So the numbers are amazing. It cannot go down more than that. I mean, at some point, you need to have spaces where people meet, work and discuss. So midterm, I'm very confident on the fact that this is going to rebound at some point, probably not by 10% per year, but by 2%, 3%, 4% per year. But it's not yet happening. And unfortunately, the past cycles do not help to do this analysis.
Martin Wilkie: That's helpful. And if I could have a follow-up just on your 2030 targets. I mean you mentioned very clearly that the organic side looks like it's going to be top end of that range. Do you have additional comments on the M&A side? I mean, obviously, you have issued a convertible bond recently. You've done some deals. Should we expect also that the M&A contribution will be the upper end of that range as well?
Benoît Coquart: Well, yes, indeed, until now, for the past year, we have seen more activity than ever in M&A. I mean we -- so not all deals are big. But last year, we did 10 deals, H1, 6. I can already tell you that there's going to be more coming in H2. So we are on a pace which is clearly at the upper end of our guidance rather than at the low end, which doesn't -- by the way, say that we will not have a weak year. You can always have a weak year, a year at 3% and not at 5%. It depends on the opportunities. And it wouldn't be a drama if we had a year at even 2% or 3% perimeter instead of 4% to 5%. But from the number of discussions we have, from the number of LOI going on -- active dialogues and so on, indeed, I'm confident on the fact that at least '25 and '26 is going to be a good year in terms of M&A.
Operator: Our next question comes from Ben Uglow from Oxcap Analytics.
Benedict Ernest Uglow: I had a couple. The first was really about Europe. I take on board the fact that Europe doesn't form part of the raised growth guidance. But 1 or 2 of your competitors have sort of hinted at some green shoots. If we look at non-res, res, renovation, new build, is there anything out there in the kind of different categories that you see as positive and encouraging? How would you characterize as we move into 2026?
Benoît Coquart: Well, Ben, nice to hear you. Well, yes, indeed, our guidance doesn't include a recovery in the building side in Europe. Now to make things clear, we start to see many signs that things are going to improve in many geographies. And for example, if you look at the permits all across Europe, it was down in '23, 21%. It was down in '24, 4%. And now it is expected to be slightly up in '25, plus 2%. When you look at the nonresidential construction, it was supposed to be down in 2024, slightly up in '25. When you look at the mortgage from the banks, it has been growing significantly quarter-on-quarter. So we start to see light at the end of the tunnel. And all those are positive signs. Now you know Legrand, you know that we are late cycle, right? So you need to have the building erected isolation, blah, blah, blah, until energy efficiency-related products or switches or circuit breakers are installed. So all those nice indicators will flow into our -- hopefully, will flow into our P&L more in '26 than in '25. A good example being France. And France, it's Europe, its number of transactions, it should be slightly up this year. The housing starts, 12 months trading is positive. If you should take the comments from a number of real estate guys, that was getting more optimistic. So yes, there is a sort of a mood, which is slightly changing in Europe, especially on the resi side, but again, not hitting yet our top line, and we haven't taken any of that in our guidance for '25.
Benedict Ernest Uglow: Understood. And just going back to the inevitable questions on data centers. One or 2 of your peers have hinted or suggested that they're seeing sort of -- I guess, I'd characterize as greater breadth of customers and more colocation, et cetera. In terms of your growth in the first half, was there any significant change at all in your customer mix, i.e., the people buying from you? I guess, in sort of simplistic terms, you effectively selling to the same people? And/or was there any significant kind of large one-off contracts that really contributed to that? Any color on that would...
Benoît Coquart: Well, I'm not aware of any significant change in the type of customers, a move from, for example, from hyperscalers to colos or the other way in H1. Now we spend more time analyzing this kind of trend on a yearly basis than on a half year basis. But I'm not aware of any of those trends. Is there a big, big -- you always have big contracts in data centers, right? Is there something that would explain why we are now shooting for 20% to 25% instead of 10% to 20%. Now it's a set of -- it's a mix of many more projects than expected, not a single one.
Operator: We will now take our next question from Alasdair Leslie from Bernstein.
Alasdair Leslie: So maybe just a couple of questions. First one on the -- maybe a clarification on the full year guide. I think the components of your organic sales guide, I think previously, they were maybe driven exclusively by data centers. I'm just wondering now it seems like there's maybe a contribution from maybe the rest of the portfolio or pricing, I guess, maybe pricing, but before from what I understood, that was offset by a negative indirect impact on volumes. So are you effectively -- has there kind of been an upgrade on the underlying volumes ex data centers here? I appreciate maybe you're not expecting a strong rebound, but perhaps less bad than previously said?
Benoît Coquart: No, actually, if you take into account the fact that the data center should grow 20% to 25% on a full year, you will easily see that the rest should be flat or maybe slightly positive, but not more than that. So almost the entirety of the 2025 growth should come from data center. Now as far as the rest of the business is concerned, the main change compared to the initial guidance is pricing. Clearly, we expected pricing to be between 0 and plus 1%, and now we expect it to be plus 2%. But otherwise, broadly speaking, and in a nutshell, all the growth -- almost all the growth should come from data center.
Alasdair Leslie: Great. And maybe just a second question, just a follow-up on one of the topics from earlier on rear door heat exchangers. Are you successfully scaling that up? And cooling does seem to be moving closer to the rack, which is kind of around your focus area, should be good synergies for you. So I suppose what are the limits of your ambitions around sort of cooling? Could you obviously explore entering direct to chip as well?
Benoît Coquart: Well, the limit of our cooling ambition is our capacity to make things clear. So yes, the rear door business is growing very nicely. It's not as big as we would like it to be because we have to scale it up and it always takes a bit of time, but it's growing very, very nicely. Now if I zoom out, I think we really are on the right spot. If you look at the investments that will flow into the data center business going forward, of course, you will have a lot of gray space-related investments because you need to build a new data center and to power those data centers. So you need transformers, you need switchgear. You need all of that. And as you know, we are actively working to increase the share of sales made in gray space. But it is a fact that our current positioning is 80% white space, and that's where the investment is going to be made. It's around the high-density data center and racks. So again, it makes us very confident and that's one of the reasons why we have increased our forecast for the market growth from the high single digit to the low teens because we believe that especially the white space piece should grow faster than the rest. But it's not only about cooling. It's about everything around the rack. It's about the products to connect the GPUs. It's about the products to power the rack and so on and so forth.
Alasdair Leslie: And any interest in direct to chip at all or...
Benoît Coquart: Well, yes, of course. We are not in the DTC business yet. Of course, if there is an opportunity to enter, why not? But we have to make sure that it is the best use of our capital. By the way, with the rear door cooling system of Legrand, you can cool a rack up to 200 kilowatts per rack. So it's 99% of the racks, including those for high density. So -- and by the way, even when you have a DTC, you usually also have a rear door cooling. So DTC would be nice to have, but we are well positioned enough with our current cooling offer, which, by the way, does not only include rear door cooling, but also everything relating to airflow management, containment and which, again, is quite complementary to direct to chip.
Operator: We will now take our next question from the line of Kulwinder Rajpal from AlphaValue.
Kulwinder Rajpal: So just a medium- to long-term question on data centers. When I look at pre-leasing and under construction capacities also with tightening vacancy rates. And then if we couple this with power investments that are needed to actually operate those data centers, do you think this could be a limitation for data center growth when we look down the line, maybe, let's say, in 2027, '28? Or does that not -- or does your mid-teen growth guidance actually include that limitation?
Benoît Coquart: Yes. Well, we see that at Legrand more as an opportunity than as a limitation. So one number to start with, most people expect the electricity consumption worldwide coming from data center to move from 2% to 4%. So of course, it's a big jump, but it's not from 2% to 20%. And I believe that we should have the ability to absorb these 2% to 4%. Number two, why is it more an opportunity than a threat because it pushes a lot of countries to increase their electricity generation capabilities. And I looked this morning at the latest numbers and the electricity consumption is increasing more than expected. On a worldwide basis, it was expected to increase 2%. And last year, it increased 3-point-something percent. And every time you are switching from -- or adding electricity capabilities, well, potentially, you are adding circuit breaker, switchgear, transformers, busbar, product to control electricity and so on and so forth, first opportunity. Second opportunity it means that there will be a push to make data centers more energy efficient. And this is the so-called power usage effectiveness, power you need to feed the IT equipment on a worldwide basis, the average PUE, the number I love, it's 1.6. So in order to power 1 megawatt of IT equipment, you need to have 1.6 megawatts of power. Every time you can cut this 1.6 or lower this 1.6 to 1.5, 1.3, possibly 1.1 even less, of course, you are saving a lot of energy. And it happens that we have a lot of solutions that help cutting the PUE from, let's say, the so-called rear door cooling, for example, to high-efficiency transformers, high-efficiency UPS and so on and so forth. We estimate that more than half of our sales in data centers are made with products that help reducing the energy bill. So it's a fact that data center implies a lot of additional power capacity in the city. It can lead to a number of public debates, which are healthy debates to have. But it's more an opportunity because it should increase the demand for Legrand type of products, either on the electrification side or in the data center side.
Kulwinder Rajpal: And just as a follow-up, so when we look at the current portfolio within the data center space, so do you think do you need to invest more in the coming years to cater to that PUE opportunity that you talked about? Or do you think the portfolio is positioned as it is?
Benoît Coquart: I think we have a good portfolio of products, frankly speaking. And for the white space, we probably have the largest portfolio of products in the industry. So I think we have a good portfolio of products. Now of course, we will keep looking at opportunities, both to add additional product families or to add service capabilities or to add the geographical reach. And you could see that in the 6 acquisitions announced so far since the beginning of the year, 3 acquisitions are data center related. So yes, definitely, we'll keep looking at opportunities both organically and on the M&A front to capture more opportunities. But we don't need to. We don't have to. We have a product portfolio, which is broad enough, deep enough, good enough to make the most of those opportunities.
Operator: Our next question comes from William Mackie from Kepler Cheuvreux.
William Mackie: It's Will from Kepler. A couple of more clarification or calibration questions really. I'll start. Firstly, with data centers, you've made a number of deals. You've enjoying exceptional growth. Could you just give us a sense of your pro forma revenues now and more perhaps specifically how that's broken down by region and perhaps some of the regional growth trend outside North America? And then the -- again, staying with data centers, with regard to the go-to-market approach, I think -- well, we mentioned Vertiv here this morning. So -- but some of your other competitors are perhaps emphasizing more of a systems approach and integrated white and gray space offer and deeper relationships with the designers, developers and builders. Do you have the right go-to-market approach across your portfolio to take you out of a product and into a system solution basis? And then maybe the other follow-up is on pricing, encouraging price realization with regard to tariffs. Could you talk a little bit when you think about your product categories or strategic business units and regions, where you're achieving that price increase as we go into the second half and next year outside North America, what the sort of price realization is in other key regions?
Benoît Coquart: Well, I'm afraid I will not able to give you as much granularity as you wish on all of those topics. On the first front, so pro forma, it's about 24% -- I mean, it's about 24% of our sales in H1. It's growing approximately at the same pace or growing very fast in the 3 zones. So I don't believe it has changed a lot in terms of geographical mix. But then to give you more color on the split between gray and white and type of customers and so on and so forth, let's do it on a yearly basis and not on a half year basis. But what I can tell you is that it was 24% pro forma, and it was 20% pro forma last year. So it's growing nicely. As far as the go-to-market is concerned, well, most of our data center sales are made direct. Not of course, because we don't like working with our distributors. And we believe that even in data centers, our distributors have a lot of added value when it comes to service, when it comes to credit, when it comes to many topics. But it is the way today, the market is organized. And as a result, we are following the market, and we are doing a lot of our sales direct to the hyperscalers and the colocation guys. We also have, of course, a lot of direct discussions with our customers. And for example, our teams are working closely with their design teams in order to co-design some of the solutions they will use tomorrow, especially in the white space. So we are doing this work, and we've been doing it for quite a while. And you may wonder how being a building player, we have such an intimacy with the data center guys. But don't forget that we have bought more than 20 companies. And each time you buy a company in this trade, you onboard people that have knowledge, expertise, relationship that we didn't have before. So we are doing this journey, of course. When it comes to the system topic, I don't believe that the customers are willing to buy one full solution, gray and white from one single maker. The reason being that you don't have one single company that has everything at the same level. And even Legrand, who has both white space and gray space is not legitimate on all this package everywhere. There are some countries where we don't have the right product or where we don't have the right service setup or -- so this is not the way our customers are organized. Our customers are willing to have the best of breed. They want to have the best rack. They want to have the best cooling solution. They want to have the best switchgear. They want to have the best data center information management and so on and so forth, fitting as much as possible their design. They don't want to rely on one vendor only that would provide everything. So it's not happening. We don't see it happening, and we don't see that as a limitation. If it was to come, we would be amongst the players benefiting from that since we have the broadest white space offering in this industry, and we have, except in the U.S., a large gray space offering. But we don't see that happening. As far as pricing is concerned, well, we don't give the pricing per geography. Obviously, the plus 2% we were shooting for in 2025, it will be a lot in the U.S. to compensate for the tariff. But we are still shooting, of course, to have positive pricing elsewhere. So up to you to make your computation, but the plus 2% is an average of higher pricing than that in the U.S. and lower pricing than that elsewhere.
Operator: Next question comes from [ Claire Leo ] from Morgan Stanley.
Unidentified Analyst: Yes, sorry, I pressed the wrong button.
Operator: Thank you. We have now reached the end of the question-and-answer session. Thank you all very much for your questions. I'd now like to turn the conference back to Mr. Coquart for his closing comments.
Benoît Coquart: Well, thank you very much for your time. I know it's a busy day for all of you. So thanks for taking the time to discuss with Legrand. And for those of you who are lucky enough to take a summer break, I wish you a peaceful and relaxing break. Thanks a lot.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect your lines.